Operator: Ladies and gentlemen, thank you for standing by. My name is Abby, and I'll be your conference operator today. At this time, I would like to welcome everyone to the Veeva Systems Inc. fiscal 2026 second quarter results conference call. All lines have been placed on mute to prevent any background noise. After the speakers' remarks, there will be a question and answer session. If you would like to ask a question during that time, simply press star followed by the number one on your telephone keypad. If you would like to withdraw your question, press star 1 a second time. Thank you. And I would now like to turn the conference over to Gunnar Hansen of Veeva Systems Inc. IR. You may begin.
Gunnar Hansen: Good afternoon, and welcome to Veeva Systems Inc.'s fiscal 2026 Second Quarter Earnings Conference Call for the Quarter Ended July 31, 2025. As a reminder, we posted prepared remarks on Veeva Systems Inc.'s Investor Relations website just after 1 PM Pacific today. We hope you had a chance to read them before the call. Today's call will be used primarily for Q&A. With me today for Q&A are Peter Gassner, our Chief Executive Officer, Paul Shawah, EVP Strategy, and Brian Van Wagener, our Chief Financial Officer. During this call, we may make forward-looking statements regarding trends, our strategies, and the anticipated performance of the business, including guidance regarding future financial results. These forward-looking statements will be based on our current views and expectations and are subject to various risks and uncertainties. Our actual results may differ materially. Please refer to the risks listed in our earnings release and the risk factors included in our most recent filing on Form 10-Q. Forward-looking statements made during the call are made as of today, August 27, 2025, based on the facts available to us today. If this call is replayed or viewed after today, the information presented during the call may not contain current or accurate information. Veeva Systems Inc. disclaims any obligation to update or revise any forward-looking statements. We may discuss our guidance on today's call, but we will not provide any further guidance or updates on our performance during the quarter unless we do so in a public forum. On the call, we may also discuss certain non-GAAP metrics that we believe aid in the understanding of our financial results. A reconciliation to comparable GAAP metrics can be found in today's earnings release and in the supplemental investor presentation, both of which are available on our website. With that, thank you for joining us, and I'll turn the call over to Peter.
Peter Gassner: Thank you, Gunnar, and welcome everyone to the call. We had another strong quarter delivering Q2 results ahead of our guidance. Total revenue in the quarter was $789 million with non-operating income of $353 million. Thanks to the team and our customers, our industry cloud vision is starting to come together. That means great industry-specific software, data, and business consulting all working together to help the industry become more efficient and effective. I'm especially excited about the clear vision and rapid progress on Veeva AI. That'll be transformative for Veeva Systems Inc. and the industry over time. We'll now open up the call to your questions. Thank you.
Operator: We'll now begin the question and answer session. If you have dialed in and would like to ask a question, please press 1 on your telephone keypad to raise your hand and join the queue. If you would like to withdraw your questions, simply press 1 a second time. If you are called upon to ask your question and are listening via speakerphone on your device, please pick up your handset and ensure that your phone is not on mute when your question. To be able to take as many questions as possible, we ask that you please limit yourself to one question and one follow-up. Again, it is 1 if you would like to join the queue. And our first question comes from the line of Ken Wong with Oppenheimer. Your line is open.
Ken Wong: Hey. Fantastic. Peter, I wanted to touch on the resolution in terms of the lawsuit with IQVIA. Can you help us walk through what led to that resolution? And what potential opportunities it could potentially unlock? And then for Brian, just on the billings guide, a nice increase there. Although with an in-line 2Q. Just help us understand the confidence in increasing the back half with what was a, you know, a more in-line-ish second quarter? Thank you.
Peter Gassner: Okay, Ken. What led to the resolution? Well, we've had this dispute for about ten years with IQVIA, and things are a lot different ten years ago. You know, IQVIA was still IMS, by the way, and just joining with IQVIA and Veeva Systems Inc. wasn't that strong in clinical. And IQVIA had a CRM product, now they don't. So many things have changed, and we just got together sort of at the start of the year. I asked the IQVIA leadership and myself and realized there's no reason for this conflict anymore. We can begin to learn about each other and partner for the benefit of customers, Veeva Systems Inc., and IQVIA. So it's just the passage of time. Things changed, and we woke up and said, you know, what are we fighting about? There's no reason to be doing this anymore. So I'm super happy, and I believe I can represent that IQVIA is very happy as well to have it resolved. Now in terms of what does it unlock for us, historically, in the commercial area, there were two barriers, two sort of artificial barriers. One was with Salesforce. Because of our OEM agreement, we couldn't develop the applications we wanted. We weren't allowed. We couldn't develop them in the way we wanted them either. So now that's gone with Salesforce since we've moved to Vault, and we have 100 live customers in CRM. That's really an anchor tenant in commercial. And then we had these important products. Veeva Network, Veeva Nitro, our commercial analytics offerings, we couldn't put IQVIA data in there. So this was sort of a hole in our boat. These products were in because they couldn't put the industry-leading data in there. That's resolved now. So you got the Salesforce thing resolved, the IQVIA restrictions resolved, so I'm really looking forward to making commercial cloud sort of like development cloud, really no limits. Very excited about that. The biggest news in commercial for a long time.
Brian Van Wagener: And, Ken, this is Brian. I'll pick up the second question on billings. So, you know, on billings, really, annual is the better indicator, so we're pleased with the $35 million raise there to full-year guidance, which is roughly in line with the revenue increase. Quarterly billings, as we've spoken a bit about in the past, they're lumpy because there are a lot of timing factors. There's customer-specific items, operational things, mix on pre and postpaid, and so it's just not a metric we use internally or a great indicator of the business. So annual is a better way to look at it, and we're really happy with the guide there. Thank you, guys.
Operator: And our next question comes from the line of Joe Vruwink with Baird. Your line is open.
Joe Vruwink: Hi. Great. Thank you for taking my questions. Nice to see R&D subscriptions and services, with larger upside just relative to how we've been modeling it. I've been interested in the evolution of Quality Cloud. It seems like that's receiving an elevated stature inside Veeva Systems Inc. I was hoping you can maybe just speak to what you're seeing. You know, is there a larger role for Veeva Systems Inc. to play and maybe extending that both into the lab and also manufacturing? And then looking ahead, is that maybe, you know, more of an outsized driver? Obviously, I appreciate it's broad-based, but is quality maybe factoring more into the five-year plan than you thought perhaps a year ago?
Peter Gassner: I'll take that one. This is Peter. For the last one, I think we're very happy with our five-year plan, our six, we have a lot of confidence in our $6 billion revenue plan. And the changes in quality, you know, from what we see are not material. It's on track for where we roughly thought it would be. It is a big area, and it has gotten elevated focus inside of Veeva Systems Inc. in the last couple of years with the start of that was to go after the LIMS area, the laboratory information management. That's a super important area. So and then we have batch release. We have a validation management product. So we really elevated that to the level of the full cloud because, yeah, that can be a very big business for us in quality.
Joe Vruwink: Okay. That's great. And then just on the excitement around AI, you know, the first products focus more in the suite and then broadening out there into next year. I guess, how do you see the opportunity? You know, I think it's interesting that commercial cloud takes on basically the look of development cloud in terms of Veeva Systems Inc. controlling its full destiny now. Do you think that starts to be a meaningful incremental driver just monetizing agents into next year? Or do you actually think the bigger consequence is maybe more strategic in that Vault has developed such robust architecture and partner ecosystem that Veeva Systems Inc. is going to be a central role for the industry as they adopt AI, you know, maybe regardless of whether it's a Veeva Systems Inc. agent or not, your Vault's gonna be a part of that mix one way or the other?
Peter Gassner: Let's see. How I would think of it, you asked a few questions there. Let me reframe a little. The basic way I would think about it, Veeva Vault platform, we started that in 2010, actually, late 2010. It was around this it had content and it had data, and they could do both. And that was very unique. And users work with content and data, and so we were able to make integrated suites clinical and quality and regulatory and safety. And that's what we've been doing for the last fifteen years. Been working very hard at it making these deep industry applications, you know, the business rules around all the data and the content. Now this is the next phase where we're gonna have agents. We still have our data, we have our content, we have our agents, and the users are gonna interact with all the three. And the agents also interact with the content of the data. So it's a fundamental new thing. And what we we've led really and are leading in the industry in this industry cloud area, industry-specific cloud applications. I think we're gonna lead in industry-specific agents and certainly inside life sciences. So that's the way to think about it. The monetization will come from selling Veeva AI, which is two things. The platform so customers can create their own custom agents, but mainly our industry-specific agents that they'll get when they buy Veeva AI. And with the model MCP, model context protocol, it's agent-to-agent interoperability. It's really easy and also vault-to-vault interoperability. We will, in terms of monetizing that, we will create billions of dollars for the industry. No doubt about that. No doubt about that. Sometimes making humans much more efficient. Sometimes reducing the need for certain people doing certain types of tasks. So there's a tremendous amount of value being captured by the industry, and we'll get our fair share of that. For sure. But we're gonna take that slow, work with our early adopters, you know, sort of end of this year in '26 or so, I don't expect any material revenue contribution for '26 or '27. For example, but I expect it's a significant increase in our market size. And that will play out over many years. But this is gonna be a tremendous benefit for Veeva Systems Inc. Our employees, you know, who are building all these agents. And our customers who are getting the value. So we're very excited about it. We've done that hard work over the last seven months or so. Of plumbing it deeply into the Vault platform. That's the really hard work. And now the application agent work is really starting in earnest.
Joe Vruwink: Thanks very much.
Operator: And our next question comes from the line of Brent Bracelin with Piper Sandler. Your line is open.
Brent Bracelin: Good afternoon. I guess first one for Peter here. I'd like to go back to the long-standing dispute with IMS and IQVIA that you settled. Specifically, we'd love to get your thoughts on one, what's been the initial customer reaction feedback to the news, just last week here? Do you have any? And then two, how should we think about IQVIA that historically has been a CRM competitor as we're going back to the Segadigm days. You know, sold some of the CRM business to Salesforce. And how does that CRM-specific relationship with IQVIA change?
Peter Gassner: Okay. So customer reaction to Veeva Systems Inc. and IQVIA has just been overwhelmingly positive because it's such good news for customers. You know, if you're a life sciences company, especially a medium to large one, there's a few things you have to have. You have to have SAP for sure. In the supply chain. You have to have Microsoft on your desktop. For sure. You have to have that. You're gonna have Veeva Systems Inc. inside your organization in one part, two parts, five parts, many parts. And you're gonna have IQVIA as well. Specifically the IQVIA data. That's what you're gonna have. And what they had before was a problem, and they needed a lot of Band-Aids because in a lot of situations, IQVIA and Veeva Systems Inc. didn't fit well together. So it's just a sense of relief from customers and exploring. Hey. What's possible? Can I do this? Can I do that? So very, very, very positive. In terms of IQVIA, they were a historical competitor in CRM. They're not anymore. When Salesforce got into that market, directly pharmaceutical CRM and said they were gonna build a product, IQVIA, you know, went out of that market, and I don't know what was the timing of what decisions there. I just know that IQVIA is not selling that CRM product anymore, so there's no issues there. We still compete with IQVIA in the areas of things like reference data, our open data product, our Compass product, things like that. But that's okay. That's normal healthy competition. We partner in many, many areas, and we compete in some. And customers benefit. And they don't need so many Band-Aids anymore to stitch things together between Veeva Systems Inc. and IQVIA.
Brent Bracelin: Helpful color there. And then, Brian, just a quick follow-up on that R&D subscription growth. Sequentially, it looks like it rose the most in two years. What drove the momentum in my side in R&D this quarter? Thanks.
Brian Van Wagener: Hey, Brent. Yeah. So it continues to, again, be broad-based. We're really pleased with the execution of this team across all areas. And they're working in a pretty stable environment. So I think you saw a really strong Q2. And things firming up as we go into the second half of the year and Q3 and Q4. Broad-based strong execution.
Brent Bracelin: Wonderful. Thank you.
Operator: And our next question comes from Dylan Becker with William Blair. Your line is open.
Dylan Becker: Hey, gentlemen. Appreciate it here. Nice job. Andy, Peter, going back to the idea of around the opportunity with AI, how you're kind of thinking about Veeva Systems Inc.'s platform approach, the network you've built, the scale you've built, giving you kind of that right to win as you embed more AI functionality across the platform, and maybe how more of these top 20 enterprises are going all in, maybe how that can serve as kind of gravity supporting some of that AI momentum with embedded intelligence and things of the like in the future.
Peter Gassner: Okay. Yeah. The right to win. We refer to that as structural advantage. When you have an application that's a system of record, be it the email system or the supply chain system or all the 50 sort of applications Veeva Systems Inc. has that are deep in life sciences from the CRM system to the drug safety system to the trial management system. When you have that system of record with the users in there, you have the right to win the deep industry-specific agents because it's in the user's workflow. Think about it. If you use Google for your email, your calendar, you would love an agent from Google that works seamlessly with that. If you could get it. So we have a right to win there. You call it the right to win. I call it a structural advantage. We can knit that technology together so that it's a seamless platform that handles the agents, the content, the data. Another thing that Veeva Systems Inc. has is we have a platform that's broad. We make about 50 applications with our platform. So we can touch a lot of things with our Vault platform. We put it in the Vault platform once, and it can extend everywhere. So we have a structural advantage. I think it's early for customers to be going all in on AI with AI because we haven't even, you know, released any agents yet, so we gotta work with our first early adopters and work that out. We have to execute. That's, you know, everybody has a grand plan, but do you execute on it? That's what really makes a difference. So we have to execute, prove our value, and over time, I'm quite confident when customers see the value, you know, they will come and they will want to go all in with Veeva Systems Inc. for AI around the things that we do. You know, and with Microsoft around other things that they do and with SAP around other things that they do. The nice thing about IdentikAI that's framing up is these agents will be able to talk to each other in a much easier way than was possible before AI.
Dylan Becker: That's very helpful. Thank you. And that does make sense. Maybe, Paul, for you, with the two top 20 customers live on CRM, and I know there's been a handful of more moments, some of others coming online over the past few months. Wondering how kind of the evidence of that live and successful implementation is resonating with customers, maybe how that stacks up on a like-for-like cost basis versus some of the conviction. And maybe, again, the customer conviction in the fact that that's only going to get more efficient over time kind of compounding the obvious nature of maybe needing to migrate. Thank you.
Paul Shawah: Yeah. Thanks. So let me step back a little bit and just give you a little bit of a broader context. We called out seven top twenties committed to Vault CRM in the prepared remarks. I can give you a little more context beyond that. Including verbal commitments. We added two additional top twenties for a total of nine top twenties committed to Vault CRM. So we're doing really well in the market, and part of it is the go-lives and the continued execution there. To be fair, we're also aware that Salesforce had one additional top 20 verbal commit for a total of three. So just to give you the full picture, the latest is Veeva Systems Inc. has nine top 20 wins. Salesforce is at three. All of the wins that I talk about are not equal, and this gets to your question here. There's a very big difference between a Veeva Systems Inc. win and a Salesforce win. So you asked about the two top twenties go live. Less than two years after they made the announcement, they're now live in major markets, and that just happened this quarter. So with Veeva Systems Inc., a win almost becomes a certainty. Right? We have to work at it. I don't want to make it sound too easy, but it's these are two significant live and happy customers now in some of their major markets, and they're gonna continue to go live globally through the end of the year and beyond. So that's where we are with wins. That's a huge milestone that has a big impact. With Salesforce, that's obviously very different. The earliest that they'll have a go-live with the top 20 in a single region is 2026. Possibly finishing in, let's say, the 2029 time frame, that's obviously a very long time. A lot can happen between now and then, especially as our customers get the benefit of all the things that Peter just talked about. Around Veeva AI, being able to get started with AI this year, our partnership with IQVIA, that they could take advantage of today, but that will get better over time. So the chance that all three Salesforce customers go live in all regions is actually low. It's just not proven. It's gonna require a lot of custom work. It's gonna take years to mature if it even gets there. So all of those three wins that they have, they're not equal to a Veeva Systems Inc. win, and they all have a contingency plan, which is Veeva Systems Inc. So that's where things play out. The two wins that we had that are now live customers obviously, critically important. And these are multifactor decisions, but these are this is a pretty significant play in kind of how customers are thinking about where they place their chips. Beyond the top 20, that story even gets stronger. Right? As smaller companies, they just can't afford to take a risk on, you know, a risky project. So we're feeling good about the competitive position, and this is a huge milestone that Veeva Systems Inc. had. And I have confidence we'll be able to continue to win and continue to convert to live happy customers.
Dylan Becker: Very helpful. Thank you, guys.
Operator: And our next question comes from Brian Peterson with Raymond James. Your line is open.
Brian Peterson: Congrats on the quarter. So I just wanted to take a step back and think about the AgenTeq opportunity. And if you think about how we could maybe size that or where you could see some of the early opportunities. I think in commercial, we see that. But if we're looking at the R&D portfolio and what Vault could be, we AgenTeq opportunities, what are some of the early use cases you'd see there? And how would you kind of look at that opportunity thinking about it maybe commercial versus R&D?
Peter Gassner: Okay. I'll take that one. Certainly different. Right? That and that's we have a lot of variety in Veeva Systems Inc. Right? We do clinical trial operations, we do commercial and medical things and quality and manufacturing. So each one is different. In the commercial area, don't think it's about reducing the number of people too much inside of life sciences. If at all, but it's enabling them to be more productive and hold more relationships and get more work done. Now in so that's very valuable in itself. If you look at areas within safety and clinical, there's some areas where there's a lot of outsourced hundreds of millions of dollars of outsourced labor. Used to do processing type things. I think AgenTeq AI can maybe, you know, remove the need for half of that. If you look at a clinical trial master file, IdentikAI can be pretty good at putting a document where it should go and telling you if you have all the documentation you need for that trial based on the protocol. And is any document blurry? Is any illegible, etcetera? It's gonna be really darn good at that stuff. So it'll be different by each area, but AgenTeq AI is gonna do things some of the things that humans can do, IdentikAI is gonna be able to do that. That either frees up more human time for humans to be more productive on what they need to do, or reduces the need for humans. So it's gonna apply to every area just like people apply to every area. But it's gonna apply in different ways.
Brian Peterson: Thanks, Peter. And maybe a follow-up. I'd love to get an update on some of your horizontal software ambitions. I know that was a big theme at the Analyst Day last year. Any progress to date that you can share? Thanks, guys.
Peter Gassner: Yeah. No specific progress. I think just to reiterate, we're working on a platform-first approach here. Our first and we're making great progress. You know, we have a good team, pretty stable team, making excellent progress. Really excited about it. We have said in the CRM area, we'll be our first use case, our first application. We're starting to talk to early customers and getting that, you know, feedback, etcetera. So I think we'll have a project or two starting this year. And then we'll give more of an update on our Analyst Day, more of a fulsome update. But if you think about Veeva Systems Inc., what do we do? We make excellent products. We really buckle down and make excellent products. We sort of avoid the hype and all that stuff. And we improve those products with our customers. And we're very authentic. And maybe everybody thinks that, yeah, you can't do that in horizontal software. Well, I don't know. I think we'll buck the trend, and I think we'll do that. So in the horizontal software, I think you'll see the flavor and the culture of Veeva Systems Inc. come through, and you'll see the product excellence come through. You gotta remember, a lot of these cloud applications, they were made before they were certainly made before AI. But a lot of them were made before the iPhone too. So you know, there's some structural things when we're starting from scratch here that we can really take advantage of and the whole new markets team is super excited about that. So more to come but the activity is definitely going full steam.
Brian Peterson: Good to hear. Thanks, Peter.
Operator: And our next question comes from the line of Stan Berenshteyn with Wells Fargo Securities. Your line is open.
Stan Berenshteyn: Hi. Thanks for taking my questions. First one, Peter, for you. Going back to the IQVIA news, just with Nitro and Network getting a second life here, can you just size the dollar opportunity for these products? And what kind of uptake we anticipate from clients?
Peter Gassner: In terms of the dollar opportunity, I would say similar to some of our other add-on products, maybe a bit bigger, but similar. But the way to think about it is that what it enables for our full commercial suite. So this helps our CRM products and all the different products we have for events management, our patient CRM, our campaign management, our data products. It's a more full solution. It really helps our business consulting too, which drives stickiness. I would say it lets customers over time take a bigger bite at the Veeva Systems Inc. Apple in commercial such. And then you saw that in clinical. When our product suite got very mature and got fulsome and got practical for people, you started customers, hey. Maybe I'll just get all that Veeva Systems Inc. stuff at once. And I think that's gonna happen a bit more in commercial. So it's transformative. I would say if you had to think about the benefit for Veeva Systems Inc., maybe 25% of that benefit is related to actual revenue there. You know? Business consulting and network. And Nitro, and 75% of it is related to the network and the network effect that we'll have on the broader commercial.
Stan Berenshteyn: Got it. Thank you. And then a follow-up for Brian. On the Marshall cloud subscriptions. There were, I believe, kind of flattish quarter on quarter here. And, in the prepared remarks, Crossix was called out as seeing, you know, continued strength and momentum here in the quarter. So first wondering if there's anything offsetting that momentum here in the fiscal 2Q. And then what is factored into the raised guidance for commercial subscriptions? Thanks.
Brian Van Wagener: Hey, Stan. So, yeah, great quarter for Crossix in Q2. On the back of a few great quarters in a row now. So we're really pleased with the execution of that team. We expect that to continue to be a meaningful driver of growth in commercial, going forward and in the balance of the year. And then I think more broadly, you see, you know, the growth, as we touched on earlier in the call, in R&D subscriptions, which works for picking up in the second half and seeing firming up of the pipeline in the second half. So good quarter of execution in Q2 and a solid view going into the second half of the year here.
Stan Berenshteyn: I guess you could just comment why was the quarter's like, flat or sequentially, if there's any offsets there, and what drove the raised guidance for the back half of the year for commercial cloud? Thank you.
Brian Van Wagener: Well, on commercial, think similar factors to what spoken about previously, Stan, so that we still see Crossix being the main driver there. We saw that in the past quarter continues to be a driver in Q2.
Stan Berenshteyn: Got it. Thanks so much.
Operator: And our next question comes from David Windley with Jefferies. Your line is open.
David Windley: Hi, thanks for taking my question. Management has talked about, I think, CRM evolving to a breadth of products that would rival what R&D looks like today. With the kind of release or the transition over to Vault and away from Salesforce Reliance, now your IQVIA resolution that you talked about today, Peter. That seems to kind of open the path to do that more aggressively. You've already launched a couple. So the question here is, what is the path to a, you know, doubling or maybe even two and a half times number of products in CRM look like and are AI agents part of the count along that path? Or do you think of those, you know, as companions to that path? Thanks.
Peter Gassner: Excellent question. I think there may be some new applications, but that's probably not the main way I look at it. I look at it for Veeva AI. We'll expand our opportunity. Also, we have now the opportunity to pull through some of the newer applications we already have, campaign manager, service center, patient CRM, network, Nitro, some of our data products, and our commercial analytics. So you look at our revenue on the commercial side now, the Crossix, you know, doing quite well. Commercial content doing quite well. And the core CRM is doing quite well. But these other applications were somewhat stalled for two reasons. First, things like campaign manager, service center, patient CRM, we couldn't develop them. Until we decided to move off to the Salesforce platform. That was about three years ago. So we had to develop those. And then for the ones that dealt with data and analytics, those were stymied due to the IQVIA restriction. So long story short, we have the product footprint we need to really increase our revenue in commercial, and now we just have to mature those products. And do that hard work of customer adoption and customer success. So you know, we're free in commercial. The runway is clear. You know, we just have to do that hard work to go down that path.
David Windley: Excellent. Thank you for that. And then the follow-up for me would be just to confirm and clarify that in your data, products and development path that you're thinking about there your agreement with IQVIA does not restrict you in any way from pursuing the development, the applications that you want to. The data that you want to.
Peter Gassner: Right. There's no restriction on Veeva Systems Inc. There's no restriction on IQVIA where, you know, the market is open and free. And we'll compete in some areas, partner in some areas, we both have an interest in customer success, but no restrictions on Veeva Systems Inc.
David Windley: Got it. Thank you.
Operator: And our next question comes from Tyler Radke with Citi. Your line is open.
Tyler Radke: Thank you. Peter, the IQVIA partnership, I know a lot of questions have been asked on that. But is there a sort of immediate imminent revenue unlocks that is perhaps driving the higher forecast for this year around some of the data products? If you could just hit on, like, what this year this unlocks, if anything.
Peter Gassner: Yeah. Nothing material for this year. Nothing that would, you know, our confidence in the year is just that Q3 and Q4 are closer now than they were ninety days ago, and things are firming up. So, you know, any additional revenue was unlocked as it relates to IQVIA, not material for this year. But it'll contribute in the coming years.
Tyler Radke: Okay. Great. And then more of a product and technology question, but you talked a lot about your optimism, you know, maybe a bit more medium to long term around AI and agents. Could you just sort of articulate what you view as the unique differentiator from an architecture perspective of Vault versus Agentforce or even, you know, the back end of IQVIA? Like, what do you think is, you know, puts you at an advantage, you know, whether certain design or technology decision that you made. Thanks.
Peter Gassner: Yeah. Our main advantage is that we have the deep application. If we just take a clinical example again, we have the clinical trial management application. So that has all the people that deal with clinical and all the data about clinical and all the business rules and all the content and all the security about clinical trials. So with Veeva AI, when we build an application agent, that's built inside of the Vault platform so it inherently knows all the security rules, and how to deal with that. And it is running in the Vault application server. So it also has transaction control. So it can update the data and the content. It can act on behalf of the user inside of a workflow. In a transactionally sound way. So that's a structural advantage if you have the application. So, for example, if we and what I said is, you know, if you're using Google for mail, and if you need an agent to help you write emails, boy, Google has the inside advantage on that one because they know what you're doing. Email. So that's the main thing. Then from the technology perspective, we have some good technologists here making good decisions. One of the nice things is we waited a little bit, helped the large language models held the base AI technology settle down a little bit so we could be really accurate on how to do things. And when we put it into the Vault platform, we took a platform-first approach. So it's gonna have very wide adoption across our different applications. They asked about something like AgentForce. You know, AgentForce really grew out of the use case of a call center agent. You know, your +1 800 number and you need you used to outsource those people, now you use agents AgentForce. That's a little bit different. You know, what we're doing is more of a deep application. And there are other toolkit-based approaches that says, hey. You know, you can build a bunch of AI with our toolkit. We're not like that. We are deeply embedded in the application, which I think is a structural advantage and makes you very sticky.
Tyler Radke: Thank you.
Operator: And our next question comes from the line of Rishi Jaluria with RBC. Your line is open.
Rishi Jaluria: Wonderful. Thanks so much for taking my questions. Nice to see continued progress here. Maybe I want to ask two questions on the AI front, which I know has been dominating this call. Number one, you know, Peter, you talked about the ability to leverage MCP and agent-to-agent transaction. I just want to kind of understand, you know, are you gonna be architecting your agents out in a way/have you already started to see this where, you know, it's not only living within the Vault ecosystem or the Veeva Systems Inc. ecosystem, but you have the ability to do agent-to-agent transactions out of Veeva Systems Inc. Whether that's with, you know, completely different vendors like a WorkCare or ServiceNow. Or, you know, even something that might be a little bit coopetition. Like an AgentForce from Salesforce or something from IQVIA. And I've got a quick follow-up.
Peter Gassner: Yeah. Certainly, we're architecting it that way that if you have an agent inside of Veeva Systems Inc., it can talk to an agent that might be inside of SAP or Workday. Or a different Salesforce one and vice versa. I think that's gonna be one of the unheralded, you know, people don't realize how much of a benefit that is. When you have agents that can talk to agents across systems because they're all following a common protocol much less brittle than you're wiring things up with a MuleSoft and transferring data back and forth. I'm really excited about that potential. And it can expose from system-to-system communication, but also for a user. I might be in my Microsoft Office and I might say, file this document in TMF. Well, the Microsoft Office Copilot may have that agent, the TMF filing agent from Veeva Systems Inc. registered with it. So it says, hey. Any of the agents know how to do this? The TMF agent would say, I sure do. Okay. I'll hand the document over to you, and away it goes. And, you know, that might have been just from within a person's email. And they just said, hey. File this document in the TMS. Well, the agent would know by reading that document, well, what clinical site are you talking about? And what type of a form is this? And what investigator is this related to? And I have to fill out three or four fields. Okay. I got it from the definition of this particular trial. I'll fish that out of the PDF. Okay. I got that, and I'm done there. So that, you know, can't happen without agentic behavior.
Rishi Jaluria: Alright. Got it. That's really helpful. And then maybe just sticking with AI agents. You know, one of the our checks, of the kind of things that have led to some customers dragging their feet on migrations to Vault CRM have been, you know, rebuilding some of the customizations that they've done on, like, Veeva CRM. Is there an opportunity that you can leverage your agents to make that transition and movement of applications easier? Thank you.
Peter Gassner: No. I would say no. It wouldn't help the migration easier. Now what's really helped there is really got our tooling really well refined. That's not AI-based tooling. That's very specific migration, tooling we have our services team, our partners teams trained up because we have a lot of projects underway now. I think we've migrated over 20 customers. But we have through about 300 more to go. So this is gonna become a machine. Now I think what it will do and you're right. Some customers hesitant to migrate to Vault CRM, but the main reason is they're happy with the Veeva CRM. You know? It's working for them. They have other things to focus on. I think the pull of AI in CRM will cause a little bit of a pull as it really starts to roll out. That'll cause a bit of pull, and then time marches on. Right? When, you know, we get into '26, certainly the end of '27, most are gonna think, well, I'm not gonna arrive b to c and wait till the end. I gotta get going. I gotta get this done. So we always thought the bulk of our migrations would happen in 2026. And 2027, and I still think that's true. So we have to see how it plays out, but I gotta believe more than two-thirds are gonna be done in '26 and '27.
Rishi Jaluria: Alright. Very helpful. Thank you so much.
Operator: And our next question comes from Ryan MacDonald with Needham. Your line is open.
Ryan MacDonald: Thanks for taking my question. Congrats on a great quarter. Peter, I was fascinated about the comments on the use of Veeva Business Consulting to sort of help push forward your AI initiatives, particularly because, you know, we obviously hear plenty about sort of agent fatigue, amongst buyers and organizations, just broadly these days. Can you just talk about sort of what level of demand that you're seeing from customers for some of these consulting services to help with change management? And moving forward, should we sort of look at, you know, projects from business consulting as sort of a leading indicator for AgenTeq AI adoption of your Veeva AI tools? Thanks.
Peter Gassner: AgenTeq fatigue. I love that term. Did you make it yourself, or is that an industry term I know about?
Ryan MacDonald: I don't think I'm that clever, so I'll say it's the industry.
Peter Gassner: Okay. Well, I don't know. Maybe I got it or maybe I don't, AgenTeq fatigue. But that's a good term. You're right to pick up on this. In fact, when sometimes when we have strategic meetings with the customer, I was thinking about a meeting we had a few weeks ago with the CEO and his management team of a medium-sized pharma company. I think the biggest eye-opener was actually what our business consulting can do for their company. Because for the first time in the industry, you have a business consulting group that can do business process transformation that is aligned with the technology partner as well. So these are reinforcing things. When AI comes in here, every AI project is a business consulting project because you're changing the boundaries of what the humans do and what the agents do. And that's not gonna happen just by sending an email. It's not gonna work like that. So you're right. It's a major structural advantage. I guess if we would disclose, you know, how many specific business consulting AI projects we're starting in any one quarter, that would be a leading indicator. We don't break it down that way, but it's certainly something I watch because that's the start of an AI project. We have one going on right now. Early adopter that wanted to get going even far before the software was ready. And it started with a business consulting project in the commercial content area. Which is a very intricate workflow, handoffs at people between medical, regulatory, and legal in different brands and different countries very intricate. So when an agent is gonna do some of that, you have to figure out, well, what is my workflow, and what is my expectation? For that? And, well, if those people were doing that step, and they're not gonna be doing that step anymore, what work do I want them to do? So that's all business consulting. Like I said, that's not just send an email and use the agent. That's not gonna work.
Ryan MacDonald: Yep. Makes all sense. I appreciate all the color there. Maybe as a follow-up, great to see some of the continued progress with the Compass product suite. But you did call out Compass prescribers seeing a bit of resistance in the marketplace, resistance to change. Can you just talk about maybe what's driving that resistance, whether it's sort of macro driven, is there sort of incremental product investments you need to make there? Just any color you can provide on that.
Peter Gassner: I would say there's always incremental product investments we need to do and, you know, sometimes you run the race and you run 100 miles an hour, and that's faster than you expected. And sometimes you run 50 miles an hour, and, you know, that's a little slower than you expected. One's probably a little slower than expected. We ran into a few more bumps than we expected. I think in prescriber, particularly, we under probably underestimated the just the resistance to change in that area. But it's we're turning the corner a bit, that really customers are pretty happy with it. You know, we project this is the first product to project procedure, you know, products and procedures for 4,000 plus brands. That was just not available before, so people don't know really, you know, what to make of it too much. They're very used to the way things are. So it's just been a hard market, but when it goes, it'll go, I think.
Ryan MacDonald: Great. Thanks, Peter.
Peter Gassner: Thank you.
Operator: And ladies and gentlemen, to be able to take our remaining questions in the time that we have left, we ask that you please now limit yourself to one question. And our next question comes from Craig Hettenbach with Morgan Stanley. Your line is open.
Craig Hettenbach: Great. Thanks. Just a question on the macro backdrop, which hasn't changed for prepared remarks kind of in the last ninety days. Crossix is highlighted as an area of relative strength. Any other kind of segments that you would call out in terms of despite some of the macro uncertainty that are, you know, still performing really well?
Brian Van Wagener: Hi, Craig. Yeah. This is Brian. I'll take this one. On the macro environment, I think what we're seeing overall is while there's still elevated uncertainties, there's really no change. It's fairly stable in that level of uncertainty. So we continue to see customers work effectively within that environment. We continue to see pipeline build and deals progress. And that's the main contributor to what you already talked about is affirming up the view for Q3 and Q4. No one area that I would call out in particular. We're seeing good execution across the business, and customers stay focused on the task at hand.
Craig Hettenbach: Got it. Thank you.
Operator: And our next question comes from Kirk Materne with Evercore ISI. Your line is open.
Kirk Materne: Hi. This is Don for Kirk, and thanks for taking my question. Brian, do you already have great margins, but are you seeing any in-house benefits yet from AI and R&D or sales and marketing functions?
Brian Van Wagener: Hey, Bill. So I think on AI internally, you know, we don't expect a meaningful contribution from that in the short term. You know, we think these have the potential to be a transformational tool over the long term. But for us, it's really a new tool about driving productivity and quality. So we've got, you know, access that everybody internally has some models that are integrated with our email system. Our engineers have specific tools that are in their flow of work. A lot like what Peter talked about with customers and building AI embedded in customers' flow of work. But I wouldn't expect a big sudden headcount change. It's a tool that we're using to continue to drive quality and productivity in our team.
Kirk Materne: Great. Thanks.
Operator: And our next question comes from DJ Hynes with Canaccord Genuity. Your line is open.
DJ Hynes: Hey, guys. So going back to the two top twenties that have gone live on Vault CRM in major markets, can you just speak to the economics of those very early large Vault CRM customers? Both spend levels and margin contribution maybe compared to what that may have looked like on, you know, legacy Veeva CRM?
Peter Gassner: I guess I can take that one. Prices similar, I guess, the best way you say it. It's not exactly the same because the package is somewhat different. It's a bit simplified in Vault CRM versus Veeva CRM. But revenue-wise to Veeva Systems Inc., about similar. Over the long term, our cost of goods sold will be about will be smaller. In the short term, actually, a little bit bigger because we have some transition costs. But during that transition time, the customers know, we're getting them going on Vault CRM, and the customers are still using the Veeva CRM, and they can continue that for a while to do a cutover and archive. So in the short term, a little more cost of goods sold, and then in the longer term, better cost of goods sold. But from a revenue perspective, should be roughly neutral.
DJ Hynes: Okay. Got it. Thank you.
Operator: And our next question comes from Jailendra Singh with Truist Securities. Your line is open.
Jailendra Singh: Thank you. Thanks for taking my questions. I want to follow-up on the Crossix comments. Can you be a little bit more specific there? It seems Crossix still remains strong. But how were trends there compared to Q1? And broadly, what would you attribute some of the key drivers behind Crossix's performance? Is it strength in industry trends, or are you gaining market share? Just trying to better understand if all the noise around other marketing channels for pharma companies is creating more opportunity for you guys and your confidence in sustainability of those trends going forward?
Brian Van Wagener: Hey, Jailendra. This is Brian. I'll take this one. On the Crossix trends, I think we saw continued strong performance coming into Q2. You'll recall that in Q1, where we had some outperformance there, you know, we said it was largely driven by audiences and, you know, we're waiting to see some of those trends play out. We saw continued growth across this business. We're not going to break it out specifically. But continues to be a meaningful driver of growth in commercial. And we see that continuing as we go into the balance of the year. There's some seasonality in Crossix. It tends to be a little bit heavier in Q1 than over the course of the year, but that's really more about the nature of the market. Than any change in the macro trends. And we think we're positioned well there and continuing to pursue market leadership in that space.
Peter Gassner: Yeah. I would if I would add on, I would say we are increasing market share. It's one thing we're doing. And then we're increasing our product footprint. So audience is relatively new for us. That's growing quite well. And then traditionally, Crossix made, you know, very strong in the consumer measurement and optimization of the patient, the potential patients. Now we're getting quite a bit better and pharma is actually spending more incremental money in the marketing to health care providers. And so we're doing more measurement in what's called the HCP marketing. So that's what you're seeing. It's growth on two axes, both market share and product footprint. And then that's really, you know, if you get down to it, that's driven by producing solid ROI and customer success. It's kind of a word-of-mouth business, and that's what's going on.
Jailendra Singh: Great. Thanks a lot. Thank you.
Operator: And our next question comes from Saket Kalia with Barclays. Your line is open.
Saket Kalia: Okay, great. Hey, guys. Thanks for taking my question here. For Peter, maybe for you, it's great to get to see the IQVIA stuff sort of behind us. You know, Nitro, in my view, was really one of Veeva Systems Inc.'s early AI products. And we didn't hear much about that product earlier on because of the data challenges with IQVIA. But now that that's out of the way, how quickly can we get Nitro back in front of customers? How much of a multiplier could that be to your CRM deals? Or however think about the revenue opportunity?
Peter Gassner: Yeah. It is. You know? If you're happy to see it, I'm probably triply happy to see it. You know? And the whole Veeva Systems Inc. team, imagine if you're working on the Nitro product or the Network product, you know, you're going in there and you have one hand tied behind your back. You know, now all of a sudden, you don't have that restriction. So part of it is we have to relearn that motion in Veeva Systems Inc. Right? We have to invest in the people, and invest in the product and the selling. We have to relearn that motion. So that, you know, it's not gonna happen overnight. We need to do that. And in terms of the revenue, you know, again, I won't break it out, but it'll be significant. But mainly, it's significant is we'll show up with a more whole, a more wholesome solution to the customer. It will enable us to do all types of things, make new data products, make new analytical products, and just show up with a better, more full suite. So I couldn't be more excited about it. And the main reason I'm excited is customers are excited about it. Our joint customers, where we had got, I guess, just the week after it was announced, the following week, I believe, or maybe one week afterwards, we had a call, a joint call with Veeva Systems Inc. and IQVIA with a, I believe that was a certainly a top 20 pharma, if not a top 10. At their request and there were high-level people from the customer. And that never happened before as far as I know. In sort of the history of Veeva Systems Inc. here. And it was very productive information sharing. The Veeva Systems Inc. team came away energized. The IQVIA team came away energized. And the customer team came away energized. And there was actually a specific follow-up to explore this or to explore that. That never happened before. So I'm just optimistic that a lot of value can be created and ideas can come out of this. That are super positive for the industry. You know, we do different things. IQVIA and Veeva Systems Inc., and then we compete in certain areas. But the one thing we do share deeply, both of us, proven, deep commitment and understanding of the industry. You know, IQVIA is a much bigger company than us, and they do different things than us. But we share that in space. We're both deeply committed to the industry. We're probably the two largest companies that are deeply, deeply committed to, in terms of revenue anyway, or impact, deeply committed to life sciences and now we're working together in the customer's interest. I'm pretty excited about it.
Saket Kalia: Sounds like a great outcome for everybody. Thanks.
Peter Gassner: Yeah. It is. Thank you.
Operator: And our next question comes from Jeff Garro with Stephens. Your line is open.
Jeff Garro: I'll put one more AI question out there specifically around the R&D product set. The market seems to have a strong appetite for AI in clinical development. And you've outlined a measured approach to releasing AI agents into the market. So wondering if you could comment on how you plan to work with partners in the interim as you get to a fuller set of agents released, and any early thoughts on where Veeva Systems Inc. can automate in a differentiated way versus partnerships effectively driving value for your life science sponsor clients.
Peter Gassner: Well, the partner work certainly continues. And we have customers using partners and there's no issues there. You mentioned a measured approach about AI. I guess that's true, but the goals are pretty big. So when we talk about in the TMS area where we have, you know, 20 out of the top 20 using our TMF, you know, we have a goal internally about to see if we can reduce processing and the outsourced labor needed in and around the TMS by 50%. In the industry. And that's not measured. You know? That's a very, very aggressive goal. So to do that, you gotta start out with these big goals in mind, and then you gotta incrementally make progress. Partners will play a part in that. Because with Veeva AI and the ability to develop these agents, and for agents to interoperate, there's gonna be good room for partners to develop agents and interoperate with our agents and then, you know, customers to develop their own custom agents pretty quickly to do the small things that we're not gonna get around to that might be very specific. To their custom, to that customer. So measured progress and very deliberate from platform first but the goals are very large.
Operator: And our next question comes from the line of Steven Valiquette with Mizuho Securities. Your line is open.
Steven Valiquette: Yes, thanks. Good afternoon. So really just a quick follow-up, another one here on Crossix, which I think you kind of half but I'm just going to ask it anyway. Last quarter in fiscal 1Q, you mentioned the usage-based component of Crossix drove more of the upside. You mentioned back then that could be lumpy, and that was reflected in the full-year guide. So I guess just one quarter later, just want to confirm how you're still thinking about that lumpiness for the back half of fiscal 'twenty-six. And then also for fiscal 1Q, you mentioned Crossix was growing at over 30%. So I'm just wondering, are you able to comment on whether Crossix is still or was still comping at 30% growth or more in the fiscal second quarter as well? Thanks.
Brian Van Wagener: We continue to see good growth in both areas of Crossix, the measurement business, which is a little more consistent subscription-like business as well as the audiences business, which is usage-based. Both were drivers of growth in Q2. Audiences was in Q1 and remains in Q2. Higher growth segment of the business, the smaller but higher growth segment of the business. We're not gonna break down a specific growth rate quarter by quarter and speak to the 30% each quarter, but it still remains the audiences does the primary growth driver of that business.
Operator: And our next question comes from the line of Andrew DeGasperi with BNP Paribas. Your line is open.
Andrew DeGasperi: Thanks for taking my question and fitting me in. Just on a follow-up, I appreciate the color on the verbal commitments on the CRM side. I was just wondering, are you seeing any, can you comment at any potential verbal commitments on EDC? And if you can't answer that question, I was just gonna add in terms of the headcount growth you had. I know it's the recent graduate class. I'm just wondering, is this like a once-a-year event? Because I didn't see that kind of level of additions in the past twelve months at least.
Peter Gassner: Yeah. I'll take the verbal commitment one. We're always talking with customers on the and other areas, but, you know, we don't really don't get into that level of verbal commitment. I think the Salesforce one is, you know, a little bit of a sort of a weird territory we're in here with the Veeva CRM for the next nine months. So we wanted to give you updates there because we know people are interested in that one. And then, Brian, in terms of the seasonality, do you want to take that one?
Brian Van Wagener: Yeah. Absolutely. So on the hiring side, you know, the headline there is in line with our expectations and driven by the core business. Generation Veeva, which is our hiring program for recent graduates, was, as you mentioned, the largest driver of that. That's a really important program for us. It feeds our consulting, our professional services, and our engineering. It had a larger class in Q2 relative to its usual mix but was in line with our expectation. So a little bit of a shift in the mix versus prior years, but as we expected.
Andrew DeGasperi: Thank you.
Operator: And our next question comes from David Larsen with BTIG. Your line is open.
David Larsen: Hi. How many total Vault CRM wins were there in the quarter? I think there were 28 last quarter. And just any color on the trend sequentially and where those wins are coming from, please? Thank you.
Paul Shawah: Yeah, David. This is Paul. We had 13 total, which was a mix of new customers that were mostly buying up for CRM, but also of the some of the migrations. From Veeva CRM. So I would think about each quarter having a mix of both of those categories but also it being relatively lumpy. Because the number of companies that are coming online each quarter buying a new CRM, that will vary. That will change. It's not a linear thing. And then also the number of migrations, in 2025, I expect that to be of the lower years. I expect that number to ramp up as we get into 2026. And through '27 and even 2028.
Operator: And ladies and gentlemen, that concludes our question and answer session. I will now turn the conference back over to Mr. Peter Gassner for closing remarks.
Peter Gassner: Thank you, everyone, for joining the call today, and thank you to our customers for your continued partnership and to the Veeva Systems Inc. team for your outstanding work in the quarter. Looking forward to talking with you again at our upcoming Investor Day, October 16. Thank you.
Operator: And ladies and gentlemen, this concludes today's call, and we thank you for your participation. You may now disconnect.